Santiago Donato: Good morning, everyone. I'm Santiago Donato, Investor Relations Officer of Cresud, and I welcome you to the first quarter of fiscal year 2022 Results Conference Call. First of all, I would like to remind you that both audio and slide show may be accessed through company's Investor Relations website at www.cresud.com.ar by clicking on the banner webcast link. The following presentation and the earnings release are also available for download on the company website. After management remarks, there will be a question-and-answer session for analysts and investors. [Operator Instructions]. Before we begin, I would like to remind you that this call is being recorded, and the information discussed today may include forward-looking statements regarding the company's financial and operating performance. All projections are subject to risks and uncertainties and actual results may differ materially. Please refer to the detailed note in the company's earnings release regarding forward-looking statements.  I will now turn the call over to Mr. Alejandro Elsztain, CEO. Please go ahead, sir.
Alejandro Elsztain: Good morning, everyone. We are beginning our first quarter of this year a new campaign for Cresud, and we are planting in very good conditions in the region, similar size of last year's, and we are going to show you a little later about the 4 countries and the size of plantation. We have -- in this year, we are budgeting and we are seeing better prices than last year and higher margins comparing to last year, having some bigger input costs in some like fertilizers much more bigger, but margins since comparing this year to last year at a little higher.  We related to the real estate business. So remembering that we have 3 lines of businesses. One is the production site and the yields on the production, the second is the real estate and the third services in the agriculture. Related to the real estate in the first quarter, we have only news in Brazil. In this quarter, we have no news in Argentina and in the rest of the countries. A lot of sales in there and a lot of liquidity in Brazil related to the real estate business.  About our segment through IRSA the urban segment, it's recovering a lot. This quarter was all open. We saw the shopping centers open. The hotels beginning to open and are receiving a lot of local tourism. So there is a lot of recovery and we're going to see very much better numbers in the real estate. And their occupation is something. But comparing to last year numbers, they are much much better.  Related to the quarter of production, we were driven by the sugar cane activity. And here, the -- that activity gave us much better results and was mainly explained by the frozen that the crop we received in the winter that made a big loss in the southern regions of Brazil, and that made an increase, a very important increase in the sugar cane prices combined with the oil prices in increase.  So the combination of the 2 made a big jump in the prices of the ethanol and the sugarcane. And in our case, our plantations were in regions that they were not affected in production. So that combination made us be and in the other, a good quarter too. Related to the oil effect on our balance sheet, we see a net gain that was mainly explained by this gross profit, financial results and income tax, and there is a lot related to the fair value of IRSA investment properties received a lost and Matias will explain later about this lost.  Finally, we had a gain of close to ARS 2 billion attributable to controlling shareholders. So this is the main explanation of the quarter.  I will introduce Carlos Blousson.
Carlos Blousson: Okay. Thank you, Alejandro. Move to the Slide #3 about the speculated area. As we can see in the graph, this fiscal year 2022 will continue on the top of the ranking for the third years in a row. The area we are planting now is 262,000 hectares distributed around the 4 countries you can see in the graph, similar to the last year, 14,000 in Paraguay, 14,000 in Bolivia and 111,000 in Brazil and 123,000 in Argentine.  About the breakdowns, the crops this year remained similar to the last 3 years, 46% soybean, 27% corn, 9% sugarcane, 3% wheat and the others produced 8% for total of the production.  Moving to the next page about farming activity and agricultural outlook. In the graph to the left, about stock consumptions, the soybean and the corn stocks remaining globally low having soybean about 27.7% and corn 25.4%. In case United States, in this graphic shows you the stocks in United States are even lower than in the rest of the world, having soybean about 7.3% and corn 10 1%, respectively. These stock consumption have a relation about the commodity prices.  In relation about that, we can see observed in the graph how prices previously went up to breaking the tops in June of 2021, about soybean 64% and corn 113%. However, along the following 5 months, there was a moderate correction in the prices dropping 17% in soybean and 35% -- 33% in corn. Now the current regional set positions is in prices similar to the budget is in soybean 56% and in corn, 51% and similar prices to the budget.  About climate condition and soybean process. As shown in the bottom right of the graph, the climate condition in Argentina and Brazil had a recovery in comparison to the right season of the last year, thoroughly, the forecast smart neutrality as the year moved away. Regarding to the current soybean process, in November 2021, the total soybean is 23%; Bolivia, 64%; Brazil, 40%; and Argentina, 2%. Total in corn is 13%; Bolivia, 99%; Brazil, 30%; and Argentina, 12%. And the last one in wheat, we have 100% of the planting because now we are adjusting starting to have [indiscernible].  Thank you, everybody.
Alejandro Elsztain: When we go to next page, we can see what happened in the farmland sales, and these 2 operational transactions were done in Brazil. None of them was reflected on the balance sheet because we are going -- we are putting transactions that of surpassing some level of payment and giving possession, and that was not accomplished on the 30th of September in the -- none in the new 2 cases.  The two cells are in two different regions, the first one, Rio do Meio, but it was done in September productive area that we sold is 2,900 hectares that we bought for BRL40 million, and we sold BRL430 million in the nominal sales. Remember that in Brazil, we sell an installment related to bags of soybeans. So when we put the game, we did have that nominal value to the present value and we made the internal rate of return with the present value giving us, in the first case, an internal rate in real of 56% and in the case of dollars, 40%.  That was the transaction done when we did the merge with Agrifirma that we merged through paying through shares of BrasilAgro and in this case, only selling the 1/3 of the fund will recover what we paid for the whole farm. So it was a big gain. It is a very important gain for the first quarter doing this small transaction. The second one that it was done in October '21 still not recognized and it probably will be on the 30th of December -- 31 of December. And here, we are selling a productive area of 2,700 hectares for a total number of BRL589 million. This is bigger than the first IPO the company did only selling 2.7 hectares.  So a small look at what is that price per hectare. It is depending on the present value of nominal value BRL30,000 or more, BRL40,000 per hectare, sorry, $40,000 or $30,000 a press more in the present or nominal value. So give us the revaluation of the land in Brazil. This is a transaction that will be recognized in 2 steps.  First step, it is more than half of 5,000 -- 1,500, sorry hectares of productive area in the first tranche and the second tranche would be like 1,100 hectares in 2024, this is a big transaction, giving us a big gain for this year and for the 2024 too. And internal rate of return, this farm we bought in 2007, if I don't remember incorrectly. So a long story giving us like 20% in reals or 12% in dollars, a big gain. And again, when we see a farm at a 3% return, we sell it and we begin to invest in another area or another activity. So first semester, first quarter with activity in Brazil, but still not reflected in our balance sheet.  We can move now to Page 6. We would like to every quarter to be mentioning some of what our agricultural services are doing. Here in this page, we are reflecting the 2 FyO and Agrofy. FyO where Cresud owns 50.1%. And let's see what is the commercialization status this company became the first of the country by far commercializing the grains, inputs, futures and options, services. So this company that today this year surpassed 6.4%, and we can see the breakdown of -- is our participation on the core wheat and soybeans. This company became by more than 2 million tons bigger than the competitors. And this is making really a big gain. The EBT evolution, we see that we are achieving close to $15 million record of the company coming 5, 6 years ago, close to breakeven. So this company is becoming relevant to Cresud.  And to give an idea of this company that has close to 0 debt went to the market and raised $12.3 million at a 0 interest rate through the local capital market in 2 years period. So this will be for investment in fixed assets and working capital. But this company is mainly employees this year is passing more employees than Cresud. FyO is close to 300 employees. Cresud agriculture in Argentina is something like that. This company is pure services to farmers from the inputs to the exports, for the commodities and the specialties. This company is growing not only in Argentina, beginning its expansion in the region, going in the inputs to the rest of South America in the output is beginning in Brazil, through FyO in Brazil. So this company is beginning to be very relevant to our strategy.  And in the other side, in the right, we can see the evolution of Agrofy, where Cresud's stake is 20%. Agrofy expanding not only to Argentina, but Uruguay, Brazil, Bolivia, Paraguay, Chile and going to Colombia. So growing in revenues growing the last year in 87%, beginning the first transaction of farmers in the digital e-commerce for the agriculture business, and this is the big leading company in the region with annual visits of 31 million per participants with a lot of monthly contracts, finishing the capital raise this state raising more capital to expand its mission. So this is becoming the marketplace of the agriculture business. So the 2 growing lots in the whole region, we are seeing much more result of Cresud through these 2 companies.  I will introduce now Mr. Matias Gaivironsky.
Matias Gaivironsky: Thank you, Alejandro. Good morning, everyone. If we move to Page 7, we can see the different performance of our segments in the urban side through our participation in IRSA. Our shopping malls, we are happy that for the first time in the last 1.5 years, we are running without restrictions that all the pandemic restrictions were clear by the government. So now we can run on a normal operation.  We can see that after the effect of the pandemic, we have an occupancy of almost 90%. If we leave aside the effect of Falabella that left the country. We have 94.3%. The occupancy is growing quarter-by-quarter. So we expect to have better numbers going forward.  When we see the real sales, of course, when we compare with the previous year that the operation was closed, we see a ridiculous number of 322% above last year. When we compare with pre-pandemic levels, we see a real decrease of 10.7%. So we hope to see better numbers going forward as well. In the case of the offices, we remain with the same side of the portfolio -- size of the portfolio with 114,000 square meters after selling some properties and with the inauguration of Catalinas building that we did during December last year.  The occupancy is at levels of 78.9%. The average rent per square meter remained stable at levels of $25 per square meter. We see that the companies are coming back to the offices with a hybrid modality, but our operations never closed in the office portfolio.  After the closing of the quarter, we announced a new sale of some floors at the 261 Della Paolera building, we sold 3 floors for $32 million that we already collected all the proceeds, and we are using that money to reduce the leverage of the company.  Regarding the hotels, the frontiers of Argentina set open for foreigners in November. So the hotels in the city of Buenos Aires were really affected by this situation. In the south of the country since the locals are traveling around the country, the operation in Llao Llao is very good. And we hope to see the recovery in the city of Buenos Aires going forward.  One important announcement on IRSA side was the announcement of the merge, the proposal of the merge between IRSA Commercial Properties and IRSA that was announced in September. We just call for the shareholders' meeting that will take place on December 22. So after this, if the merger is approved, Cresud will reduce the stake in IRSA from sorry, from 62% to 54%. This is because we will issue shares for minority shareholders of IRSA commercial properties, and we will give IRSA shares.  Going to the -- our balance sheet and the results of the quarter in Page 9, we can see that we are finishing the quarter with a gain of ARS 2.8 billion compared with ARS 11.4 billion last year attributable to our controlling interest is ARS 2 billion against ARS 4.4 billion last year. We have here several different drivers. If we see on the left side in the agribusiness, we have results that are in line with the previous year. We are finishing with an operating income of almost ARS 2.3 billion against the same number last year, and we will see more details in the next page.  In the urban business, we are showing a loss of ARS 4.6 billion against an important gain, ARS 35.1 billion. Last year, this is related to the change in the fair value. If you see in the line 6, there you have the results that last year, we posted a gain of ARS 36 billion and this year, a loss of ARS 6.4 billion. This is related to the macroeconomic drivers of Argentina. We are valuing our properties, basically a dollar terms similar with the previous quarter. But when we convert that into pesos and then compared with inflation. Inflation was at levels of 9% during the quarter and the devaluation of the official exchange rate was only 3% or the blue chip swap was 7%. So that effect generate losses in pesos term in the balance sheet.  So we can move to the next page, Page 10, that here, we have the breakdown of the adjusted EBITDA by segment. We can see very good results on the agribusiness. We -- the main difference with the previous year was the sugarcane line, Line 4, that this is related to better prices and better production. So also adjusted by inflation, we have a much better gain than the previous year. And then in the rest of the lines, we are similar with the previous year. The first quarter is not the most relevant quarter for grains. So we will see the results going forward.  In the cattle, we have the effect of the inflation that prices are set lower than inflation. So we are recognizing a loss here. But after the quarter, we see increase in prices. So maybe we will recover in the following quarter. And the results of FyO as Alejandro mentioned, that was very good results. So we keep increasing the EBITDA of that segment.  Regarding farmland sales all the disposals that Alejandro mentioned will be recognized in the balance sheet probably in the next quarter. Part will be in steps, but we will see better results going forward. In the previous year, we have a gain related to the receivables, some farms that we sold are paid bags of soybean. So, we last year because of the increase in prices, we see a recovery in that line and that doesn't happen this quarter.  Regarding the urban segment, here, it's more difficult to compare. We are comparing with an operation in the mall that was closed during the previous year. So here, you can see that last year, we posted a loss. This year, we are recovering with almost normal operation in terms of revenues. We will have some concessions. But going forward that will disappear. So we are now running a complete normal operation. In the case of the offices, we see a stable results.  Here, we have different drivers on increasing square meters because of the Della Paolera and some that we increased because of the disposals of 2 buildings. On the hotels, we start to see, again, positive numbers and sales and development during the quarter, there was no significant transaction.  In Page 11, we see the other important effect that we have in the financial statements. We have a net financial results ARS 3 billion positive against a loss last year of ARS 3.9 billion of lost. The reason here is basically the FX. When we see last year, we have real devaluation of 0.4% or a nominal devaluation of 8.1%. And this quarter, we have a nominal devaluation of 3.2% and appreciation in real terms of 5.6%, that generates that will value our debt in dollars into pesos, we are recognizing a gain that is in the line 2 in the next exchange differences.  Finally, on Page 12, we have the breakdown on the debt amortization schedule that remained stable compared with the previous quarter. What we did during the quarter was to issue around $60 million in the local market through 2 different transactions. One was related to the Central Bank regulation that forced companies to refinance part of the debt in order to have access to buy dollars. So we did a transaction very successfully in July 2021. And then in September '21, we issued $41.8 million to refinance a bond that expired in December at 3.5% interest rate with the maturity in September 2024.  So last week, we also announced that related to our bond that expired in December '21, the $53.6 million. We called that bond events, so we will cancel this week all the amount in order to reduce our exposure to dollars and also to reduce the leverage. So with this, we finish the formal presentation.  Now we open the line to receive your questions. Thank you very much.
Santiago Donato: [Operator Instructions]. If there are no questions, we conclude this presentation, and we turn back to Mr. Alejandro Elsztain, CEO, for his closing remarks.
Alejandro Elsztain: Thank you, Santi. We are beginning a very good season, big size regionally, having capital for buying more land in the region too after the capital increases that we did last year. And we are growing -- so we think that it's a very good momentum for agriculture in the region. Prices are in much better terms than in the past, and margins are much higher. So we expect a very good season. And in the combination of real estate having closed in the first quarter, 2 big transactions give us a big really very good forecast of the annual results for the agriculture business for the region. And in the case of the services, in the 2 cases in the FyO in the Agrofy having the capital and the group. In the case of Agrofy is a team of more than 300 employees, too. So we have the challenge of developing that e-commerce on the region.  So really, we are very optimistic on the '21, '22 numbers. I would like to thank you, everyone, and deserving to everyone, have a very good week. Thank you very much.
End of Q&A: